Operator: Ladies and gentlemen, welcome to the STMicroelectronics Full-Year 2024 Earnings Release Conference Call and Live Webcast. I'm Sandra, the Chorus Call operator. I would like to remind you that all participants have been in listen-only mode. And the conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions]. The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Jerome Ramel, EVP, Corporate Development and Integrated External Communications. Please go ahead, sir.
Jerome Ramel: Thank you. Thank you, everyone, for joining our fourth quarter and full-year 2024 financial results call. Hosting the call today is Jean-Marc Chery, ST President and Chief Executive Officer. Joining Jean-Marc on the call today are Lorenzo Grandi, President and CFO; and Marco Cassis, President, Analog, Power & Discrete, MEMS & Sensors Group and Head of ST Micro Electronics Strategy System Research and Application and Innovation Office. This live webcast and presentation materials can be accessed on ST Investor Relations website. A replay will be available shortly after the conclusion of this call. This call will include forward-looking statements that involve risk factors that could cause ST results to differ materially from management expectations and fans. We encourage you to review the safe harbor statement contained in the press release that was issued with the result this morning and also in STM, we set regulatory filing for a full description of these risk factors. Also to ensure all participant have an opportunity to ask question during the Q&A session. Please limit yourself to one question and a brief follow-up. Now I'd like to turn the call over to Jean-Marc Chery, ST President and CEO.
Jean-Marc Chery: So thank you, Jerome. Good morning, everyone, and thank you for joining ST for our Q4 and full-year 2024 earnings conference call. So today, I will start with an overview of the fourth quarter and the full-year 2024, including business dynamics, and I will hand over to Lorenzo for the detailed financial overview. I will then comment on the outlook and conclude before answering your questions. So starting with Q4. In a persisting challenging environment, we achieved a Q4 2024 financial results, pretty much in line with the midpoint of our guidance. Our Q4 net revenues decreased 22.4% year-over-year and increased 2.2% sequentially to $3.32 billion. Our gross margin was 37.7%. Our operating margin was 11.1% and net income was $341 million. Our Q4 net revenues were in line with the midpoint of our business outlook range, driven by higher revenues in Personal Electronics, offset by lower revenues in Industrial, while Automotive and Communication Equipment and Computer Peripherals performed as expected. Q4 gross margin was broadly in line with the midpoint of our business outlook range. Looking at the full-year 2024. Net revenues decreased 23.2% to $13.27 billion, mainly driven by a strong decrease in industrial and to a lesser extent in automotive. Gross margin was 39.3%, down from 47.9% in full-year 2023. Operating margin was 12.6% compared to 26.7% in full-year 2023 and net income decreased 63% to $1.56 billion. We invested $2.53 billion in net CapEx, while generating free cash flow of $288 million. Let's now discuss our business dynamics during Q4 and a recap of our 2024 business highlights. In Automotive, during the fourth quarter, we continued to face a slowdown, particularly in Europe, and our book-to-bill ratio remained below one. For 2024, we continue to execute our strategy, supporting the transition of the automotive industry to car electrification and digitalization. In Electrification, we won business with our power discretes and modules both silicon and silicon carbide as well as smart power technologies and smart fuse solutions. With Silicon Carbide products, our revenue for the year was $1.1 billion. During the year, we had multiple high-value wins with both silicon carbide devices and modules for automotive customers, including a cooperation with Ampere, as well as broadly in industrial applications. In China which is the fastest-growing market for electrical vehicles. We have a very strong momentum in terms of design-in activities. And as of today, we have more silicon carbide engagement with top Chinese carmakers than any other suppliers. To this respect, in June, we announced -- we signed a long-term silicon carbide supply agreement with Geely Auto. We also introduced our fourth generation of silicon carbide MOSFET technology, bringing new benchmarks in power efficiency, power density and robustness. Our automotive microcontrollers portfolio supports both electrification and digitalization. And during the year, we saw continued design win momentum across applications such as software-defined vehicle architectures and car electrification systems. Important trends here are the integration of multiple ECUs into a single more powerful unit and the zonal architecture approach. During Q4, we announced a statement offering for our advanced ARM-based Stellar microcontrollers as well as a brand new service in the STM32 family designed for actuation of car body, convenience and onboard changing applications. In ADAS, we worked closely with our long-time customer and partner Mobileye with a focus of their latest market introduction the EyeQ6 family. The family includes the EyeQ6L designed for performance, power, and cost efficiency for level 1 and 2 driver assistance, as well as EyeQ6H, which delivers premium ADAS and full surround view functionality. In Industrial, during Q4, we continued to face a delayed recovery and inventory correction, particularly in Europe, and our book-to-bill ratio remained below one. Looking at our 2024 highlights in Power and Energy management applications, we had a broad range of design wins including in data centers, EV charging stations, renewable energy systems, white goods and factory automation. We introduced a wide range of new products, solutions and reference designs, also including high performance telecom applications and AI server power supply. Another important growth opportunity around AI for ST, on top of our focus on Edge AI. In embedded processing solutions, we further strengthened STM32 microcontroller and microprocessor families and ecosystem, introducing many new products and tools. A particular focus was on Edge AI enablement for our customers. In June, the ST Edge AI Suite came online bringing together tools, software and knowledge to simplify and accelerate edge AI application development. In December, we made our most powerful MCU series, the STM32N6 available for broad market adoption. The series is the first to feature our propriety neural-ART Accelerator NPU, making it possible to run computer vision, audio processing, sound analysis and more consumer and industrial applications at the edge on a microcontroller. We also introduced an innovative smart sensor with edge AI processing for motion tracking in industrial and robotics applications. The combination of software and tools ecosystem continues to lower the barrier to entry for developers to take advantage of AI accelerated performance for real-time operating system. In October, we announced a new strategic collaboration with Qualcomm Technologies for the new generation of industrial and consumer IoT solutions. Together, we are integrating Qualcomm's leading wireless connectivity technologies with our STM32 microcontroller ecosystem. We also introduced the industry's first embedded SIM meeting the GSMA standard for eSIM IoT deployment to support the proliferation of secure cloud-connected autonomous things. In Personal Electronics, Q4 was slightly better than expected, while in communication equipment and computer peripheral was in line with our expectations. In Personal Electronics, during 2024, we continue to be successful with our focused approach through solid execution of engaged customer programs securing sockets in flagship devices with differentiated products and leveraging our broad portfolio to address high volume applications. In Communications Equipment, our RF communication business delivered solid results. We continue to progress well with engaged customer programs in satellite and cellular communication infrastructure and receive ours from a new player in the LEO [indiscernible] satellite market. Let me now share a summary of our main 2024 manufacturing initiative. In May, we announced the construction of a new high volume 200-millimeter silicon carbide manufacturing facility in Catania, Italy to manufacture power devices and modules, including testing and packaging, along with the silicon carbide substrate manufacturing facility on the same site. These facilities will form ST's Silicon Carbide Campus, a fully vertically integrated manufacturing hub for silicon carbide devices. In sustainability. All our strategic manufacturing initiatives are aligned with our sustainability strategy and our commitment to sustainable manufacturing in terms of energy consumption, greenhouse gas emissions, air and water quality. We are on track to be carbon-neutral by 2027 in all direct and indirect emissions from Scope 1 and 2 and focusing on product transportation, business travel and employee commuting emissions for Scope 3. And we are on track for our 100% renewable energy goal by 2027 as well as for other key sustainability commitments. Power purchase agreements will play a major role in our transition. Following the first ERG announcement in Q4 2023, we added two more in 2024, one in Italy, with Centrica and one in Malaysia with ENGIE. You will also have noticed; we just announced another one in France with Total for 15 years. We also continue to work closely with external bodies to maintain our strong presence in the major sustainability indices. Let me close this section with a recap of our 2024 corporate development activities. ST has made a number of significant change in the way our company is structured and operates during 2024. In January, we have done the reorganization of our product groups into two groups, split in four reportable segments as well as the creation of a new application marketing organization by end market, implemented across all regions with the existing and marketing organization. In May, I was pleased to be reappointed as member and Chairman of the Managing Board for a three-year term to expire at the end of 2027 Annual General Meeting of Shareholders. And Lorenzo was appointed as member of the Managing Board for the same three-year sales. In October, Lorenzo, President and CFO added responsibilities to cover supply chain, corporate development and integrated external communication in addition to finance, global procurement, digital transformation and information technology, enterprise risk management and resilience. In October, we also announced the launch of a new company-wide program to reshape our manufacturing footprint, accelerating our wafer fab capacity to 300-mm silicon in Agrate and Crolles and 200mm silicon carbide in Catania and resizing our global cost base. This program should result in strengthening our capability to grow our revenues with an improved operating efficiency, resulting in annual cost savings in the high triple-digit million dollar range exiting 2027. Specifically, in terms of operating expenses, SG&A and R&D. The program is now going to start and we expect annual cost savings totaling $300 million to $360 million, exiting 2027 compared to the cost base of 2024. Now over to Lorenzo, who will present our key financial figures.
Lorenzo Grandi: Thank you, Jean-Marc. Good morning, everyone. Let's start with a detailed review of the fourth quarter, starting with revenues on a year-over-year basis by reportable segment. Analog products, MEMS and Sensor was down 15.5%, mainly due to decreases in analog and imaging. Power & Discrete products decreased 22.1% with a decline in both Power & Discrete. Microcontrollers revenue declined 30.2% mainly due to general purpose microcontroller. Digital ICs, and RF products declined 22.8%, mainly due to ADAS and infotainment. By end market, Industrial declined by about 41%, Automotive by about 20%, Personal Electronics by about 17% and Communication equipment and computer peripherals increased by about 2%. Year-over-year sales decreased 19.8% to OEMs and 28.7% to distribution. On a sequential basis, revenue increased 1.1% in analog MEMS and sensors, 7.0% in microcontroller and 13% in digital ICs, and RF while decreased 6.8% in Power & Discrete. By end market, Industrial grew by about 12%. Communication equipment, computer peripheral by about 13% and automotive by about 1%, while personal electronics decreased by about 8%. Turning now to profitability. Gross profit in the fourth quarter was $1.25 billion, decreasing 35.7% on a year-over-year basis. Gross margin was 37.7%, decreasing 780 basis points year-over-year mainly due to unfavorable product mix and to a lesser extent, through sales price and higher unused capacity charges. Total net operating expenses amounted to $884 million in the fourth quarter. This was better than anticipated, reflecting higher level of R&D grants, a stronger dollar as well as the continued strict monitoring of our expenses in the current market environment. Talking about net OpEx. Let me give you an indication for the first quarter of 2025. In the first quarter of 2025, we expect them to stand at about $850 million. As a reminder, these amounts are net of the other income and expenses. Coming back to the fourth quarter. As a result of fourth quarter operating income decreased 64% to $369 million. Q4 operating margin was 11.1%, down from the 23.9% in the year ago period with analog MEMS and sensor at 14.7%, Power & Discrete at 11.9%, microcontroller at 14.3% and digital ICs and RF at 31%. Q4 '24 net income was $341 million compared to $1.08 billion in the year ago quarter. Earnings per diluted share were $0.37 compared to $1.14 one year ago. As a reminder, the fourth quarter of 2023 net income included a onetime noncash income tax benefit of $191 million. Looking now at our full-year 2024 financial performance. Net revenue decreased 23.2% to $13.27 million by end market. On a year-over-year basis, Industrial revenues decreased 49%. Automotive was down 14%, Personal electronics declined 11% and communication equipment and computer peripheral were down 2%. Automotive represented about 46% of our total '24 revenues. Personal Electronics about 21%, Industrial 20%; and Communication equipment, computer peripheral about 13%. By customer channel, sales to OEMs and distribution represented 73% and 27% respectively of the total revenues in 2024. A lower share of distribution compared to 2023 reflected the inventory correction in the industrial end market, which is mainly addressed through distributors. By region of customer origin, 40% of our 2024 revenues were from the Americas, 30% from Asia-Pacific and 30% from EMEA. Looking at the sales performance by reportable segment. Analog MEMS and Sensor was down 13%, with all subgroups declining. Power & Discrete decreased 18.8% with a decline in both Power & Discrete. Microcontroller revenues declined 38.8%, mainly due to general purpose microcontroller. Digital ICs and RF products declined 16.5% mainly due to ADAS and infotainment. In 2024, gross margin decreased to 39.3% compared to 47.9% for 2023. Mainly due to product mix and to a lesser extent, to sales price and higher unused capacity charges. In 2024, operating margin decreased to 12.6% compared to 26.7% in 2023. By reportable segment, analog products, MEMS and sensor operating margin decreased to 14.3% from 21.7%. Power & Discrete operating margin decreased 14.7% from 26.1%. Microcontroller operating margin decreased to 14.4% from 35.6% and Digital ICs and RF operating margin decreased to 29.7% from the 35.6% of the previous year. Net income was $1.56 billion and earnings per share was $1.66. Net cash from operating activities decreased 50.5% in 2024 totally $2.97 billion. Net CapEx stood at $2.53 billion in 2024 in line with our expectations compared to $4.11 billion in 2023. Free cash flow was $288 million in 2024 compared to $1.77 billion previous year. Inventory at the end of the year 2024 was $2.79 billion compared to $2.7 billion in 2023. Day sales of inventory at year-end was 122 days, substantially in line with our expectations compared to 130 days at the end of Q3 '24, and 104 days at the end of the previous year. Cash dividends paid to stockholders in 2024 totaled $288 million. In addition, during 2024, ST executed share buyback totaling $359 million. ST net financial position of $3.23 billion at December 31, 2024, reflected total liquidity of $6.18 billion and total financial net debt of $2.95 billion. Now back to Jean-Marc who will comment on our outlook.
Jean-Marc Chery: So thank you, Lorenzo. Now let's move to our business outlook for Q1 2025. Our business environment remains challenging as we continue to face a delayed recovery and inventory correction in industrial and a slowdown in automotive, both particularly in Europe. As a result, we handed up 2024 with a book-to-bill still below parity. As we indicated during our Q3 2024 results, we were expecting our Q1 2025 revenues, quarterly decline compared to Q4 2024 to be well above our normal seasonality, partly due a lower number of calendar days as Q1 2025, we have six less days than Q4 2024. We are confirming this trend. We are confirming this trend. We are expecting Q1 2025 revenues at $2.51 billion, plus/minus 350 basis points at the midpoint. Our Q1 2025 net revenues will decrease by 27.6% year-over-year and 24.4% sequentially. We expect our gross margin to be about 33.8%, plus/minus 200 basis points. In terms of CapEx, in 2025, we plan to invest about $2 billion to $2.3 billion in net CapEx. So to conclude. 2024 turned out to be one of the worst years in many decades for the industries we sell, particularly in industrial and in automotive. It was characterized by unexpectedly weaker head demand and higher level of inventories, which significantly impacted ST. Coping with this reality, we had to postpone our $20 billion plus revenue ambition plan to 2030 during our Capital Market Day last November. And we set a new intermediate financial model for '27, '28. We are already engaged and determined to execute our manufacturing reshaping and cost saving program to restore profitability compatible with our model and investing in innovation to capture the revenues growth from the secular trends we are addressing. Thank you, and we are now ready to answer your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. First question comes from Francois Bouvignies from UBS. Please go ahead.
Francois Bouvignies: Thanks a lot. So my question would be, I mean, given the outlook that you see in Q1 and the book-to-bill, that doesn't bring a lot of confidence at this stage, especially in terms of visibility, what should we think about the rest of the year? I mean, Jean-Marc, you said at the Capital Markets Day, you were comfortable about the consensus numbers, which has minus 3% at the time following these results. How should we think about the rest of the year and given the book-to-bill? How should see the trend? Thank you very much.
Jean-Marc Chery: Following the business dynamic of Q4 and specifically on automotive, but we believe it's really too early to communicate our new plan for the full-year 2025. Considering again, the visibility we have in industrial, but both in automotive. Well, beyond Q1, the visibility remains extremely low, but except for the main engaged customer program in which we should grow beyond seasonality in H2 versus H1, but driven by content increase. For normal seasonality between Q2 and Q1 is generally speaking, flattish revenues. And at this stage, we do not see any specific reason why it should be much different than the positive calendar effect means plus 3% Q2 versus Q1. However, we think it's fair to expect Q1 at the low point of 2025.
Francois Bouvignies: That's great. Thank you very much.
Jerome Ramel: Thank you, Francois. Do you have any follow-up?
Francois Bouvignies: Yes. Been weakening and the channel has been fairly high. How do you see the level? I mean, do you see any evidence of strong destocking? If you can maybe disclose in the channel where you are versus a normal or if you see any light in the destocking part this quarter in Q1, and of course, Q4 as well.
Jean-Marc Chery: I will pass the question to Lorenzo.
Lorenzo Grandi: In term of inventory in distribution in the quarter, we have not seen a significant destocking, let's say, still situation, I would say there is some excess of inventory. This excess of inventory stays in the range of one or two months, let's say depending on the product higher in respect of what we consider a normal situation in distribution. So at the end, still, we see inventory in -- excess inventory in distribution.
Jean-Marc Chery: Well, the only positive point is that our distributor POS, so their whole sales increased slightly versus Q3. By geography it has been driven moment in Asia, while Europe and America didn't improve. But however, according the input and the visibility we have, the POS will decrease in Q1 versus Q4. So that's the reason why inventory correction is still in front of us.
Francois Bouvignies: Thanks.
Jerome Ramel: Thank you, Francois. Sandra, next question, please.
Operator: The next question comes from Andrew Gardiner from Citi. Please go ahead.
Andrew Gardiner: Good morning gentlemen. Thanks for taking the question. Jean-Marc, given what you have just described in terms of despite the lack of visibility, but also your current expectation about, let's say, steady 2Q. How are you planning for fab loadings and the underutilization charges. And then also, if you've got any steer on the net OpEx as we move beyond first quarter, starting the year at 850, effectively implying zero adjusted operating profit. It would be helpful to understand what your plans are for the next couple of quarters in terms of the net OpEx as well? Thank you.
Jean-Marc Chery: Lorenzo will take the question. What I can say also share with you immediately that in Q1, we have already taken significant closure of production day across our fabs and assembly and tax plans. Then after there is a number related to unload charges and OpEx. So Lorenzo will comment.
Lorenzo Grandi: The loading, let's say, this quarter, the impact of the unloading charges is above 500 basis points. So it's quite heavy. We have a plan also for temporary closing of many of our fabs during this quarter. Our expectation is that in Q2, we will continue, let's say to have a significant amount in terms of unloading maybe slightly improving in respect to the first quarter still impacting significantly our gross margin. But in term of OpEx, as we said, in this quarter, we do expect to have a net OpEx around $850 million. Then you know that we have started now our program in terms of resizing our OpEx. We think that in 2025, we will start to see some first benefit of our cost saving program on OpEx. Overall, the saving program, we said this should be over the horizon of the three years at $300 million, $360 million compared to the cost base of 2024. We think we estimate that for 2025, we will have compared to the basic cost at 2024, something in the range between $100 million, $120 million impact reduction on our expenses. On the other hand, you have not to forget that there will be the impact of the inflation means salary increase, these kind of things. Overall, we expect that net OpEx should decrease low-single digit in 2025 compared to 2024 despite the fact that we have a lower R&D grants in the -- as expected lower R&D grants in 2025 compared to the 2024.
Jerome Ramel: Do you have any follow-up?
Andrew Gardiner: Thank you very much. It's just slightly a separate one. It was just interested, Jean-Marc, on the comment you made regarding the visibility. I mean on the industrial side, I think that's pretty clear given the weakness you saw in the fourth quarter and what you're seeing in terms of the channel. But in 4Q automotive was, let's say, okay, was in line with your expectations. But you're also pointing out that the visibility there, looking into this year is particularly weak. What has perhaps changed for the worst? Or is it just the customers are so uncertain, they're not giving you visibility on a normal lead time? Just a bit of color around what's happening in automotive would be helpful.
Jean-Marc Chery: No, we are coming to the -- all the way of working between carmakers and Tier 1. So it means order are coming within two, three weeks visibility. So this is the point number one. It is also clear that taking into account the current situation of the overall automotive industry between the mix change on the termoil combustion engine, high end, okay, middle end exchange on electrical vehicles, battery-based versus hybrid one. In Q1, okay, we see a phenomena of inventory adjustment. That's the reason why we anticipated and we share, okay, with the market that Q1 will be significantly below the seasonality that generally speaking are only due to personal electronics and China and Asia, okay, because of Chinese New Year, but this year, amplified by an inventory correction at automotive. After Q1, okay, we know that some Tier 1 have already adjusted their delivery forecast, but again, which is only a forecast, but the visibility of the pooling from the consignment inventory are very short term. So we are not protected against some fluctuation on this point. That's the reason why we come back on this situation.
Andrew Gardiner: Understood. Thanks Jean-Marc.
Jerome Ramel: Thank you, Andrew. Sandra, next question, please.
Operator: The next question comes from Didier Scemama from Bank of America. Please go ahead.
Didier Scemama: Yes, good morning. Thank you for taking my question. Jean-Marc, if you could give us an update also on the manufacturing footprint. Obviously, the company structured for a substantially higher level of revenue. Obviously, you communicated your OpEx cuts over the next three years. Can you help us understand a little bit the rest of the OpEx or COGS, I should say, a reduction and where the manufacturing footprint will be reduced and that would be helpful. Thank you.
Jean-Marc Chery: So Lorenzo will comment on it.
Lorenzo Grandi: Yes, maybe I'll take this question. As you remember, at our Capital Market Day, we were indicating that we wanted to accelerate our transformation of the manufacturing footprint accelerating our 300-millimeter. So moving from 200-millimeter for silicon to 300-millimeter and for silicon carbide from the 150-millimeter to the 200-millimeter. So this plan, of course, cannot yield a significant benefit already this year, because definitely, we need move our production from existing 200-millimeter fab to the 300-millimeter fab. As we said, overall, the program is yielding, including expenses, high triple digit, let's say, savings what we have given to you, let's say, the sizing over the next three years, let's say, in terms of expenses. And as you have seen, substantially, we think that this will come in in our P&L quite evenly in the next three years. For what concern the COGS, it will be mainly -- we will start to impact the 2026, but the significant impact will be in 2027. So the program is a program that will yield some benefit in 2026. And this is working mainly, let's say, thanks to the accelerated move of the silicon carbide on for 150-millimeter to 200-millimeter and will yield the most of our savings in 2027.
Didier Scemama: Okay. Thank you. For my follow-up, I just wondered if you could give us an update on where you are in terms of general purpose microcontroller market share. I think Jean-Marc, you mentioned last quarter, if I remember correctly that about a quarter of the revenue contraction came from market share loss in China, I think in consumer. Do you have any sort of fresh thoughts on this? And I guess the question from here on is the magnitude of the decline is such that people are starting to wonder whether it's much more than a cyclical downturn? And how much market share you've actually lost in China and elsewhere. So just give us a sense of comfort level that this is cyclical and not structural.
Jean-Marc Chery: No, we confirm basically the relative weight of the root cause of the revenue decline in '24 versus '23. So inventory correction is 60% then, okay, lower market, 30% and market share loss clearly in -- mainly in mainstream microcontroller in Asia, in China with the competition and mainly on EBIT. There is no reason, okay, that this may change. And by the way, we believe of how we wait really, we will wait the last picture. But we believe that in Q4, we have started to win market share. This is our view and what we are convinced about. Then I repeat, okay, in order to comfort ourselves about this statement, the recipe, okay to control and to continue to grow in this market remain the same. So the most comprehensive hardware and software stack. ST has the most comprehensive hardware and software stack. In the industry, we have the most advanced ecosystem. We have basically more than 1.2 million developers around our ecosystem. But you know that our technology road map, we have one of the 40 nanometer, the enabling, okay, from higher performance to ultra-low-power microcontroller. We are introducing [indiscernible] will be really competitive versus all the advanced offer from a foundry or integrated people. Then we have the manufacturing capacity, 300-millimeter fab. And then, okay, we are completing our microcontroller with hardware accelerators. So there are offer on AI, there are offer on connectivity. So -- and we saw, okay, on our ecosystem, okay, that continuously, the developer are cutinizing, okay, our portfolio. So now I confirm, yes, the competition is tough and challenging in China, in Asia with, let's say, a new player. I would like to repeat that here in China to compete, we are developing a China-for-China strategy. It is an exhaustive strategy. It is not only about manufacturing, there is a lag of manufacturing, but there is a lag of product development and product support and the result of business development and business support. So we are adapting ourselves completely to the ecosystem of microcontroller in China in order to keep growing our market share. But yes, I confirm, we lost 10% because, okay, during the shortage period, we have sacrificed okay 8-bit microcontroller at the low end 32-bit of the mainstream. We do believe that partially we will recover moving forward, offering, okay, microcontroller, which are super competitive and with embedded features.
Didier Scemama: Thank you. Very helpful.
Jerome Ramel: Thank you, Didier. Sandra, next question.
Operator: The next question comes from Menon Janardan from Jefferies. Please go ahead.
Janardan Menon: Hi, good morning. Thanks for taking the question. I was just trying to get a feel for the gross margin possible progression through this year. Lorenzo, you were saying that you won't get much of the effect on the COGS reduction in 2025 and you have the -- you have a 500 basis point on the utilization charge, which is hitting you right now in Q1. So assuming that the underutilization gradually improves through the course of the year, are we in a situation where even by Q4 you may be 100, 200 basis points below the 40% level because there's no other factor there? Or is there any other factor which could come into play in the second half of the year in terms of product mix or cost reduction or anything like that, which could improve your gross margin as you get to the end of the year.
Lorenzo Grandi: Thank you for your question. Clearly, let's say, at this stage, it's a little bit difficult, let's say, to give an indication for the gross margin. And this is also related to the fact that at this stage, our visibility on the evolution of the revenues is not yet there. But I think regarding the unused capacity charges, for sure, we will have a significant level of unloading in H1. But we think it should improve in H2 benefiting from the additional content in personal electronic, that this is supporting fab loading, especially, let's say, loading on our 300-millimeter that are the one that are impacting more the unloading charges as you can image. Clearly, the level of unloading, it will also depend on the magnitude of the recovery in industrial, this is another important factor. Then you have to consider that when we look let's say the year, now we will have some tailwinds helping definitely, one is the price dynamic in COGS. We have a positive impact due to the cost of energy, lower cost for our foundry. There is stronger U.S. dollar that will gradually materialize during, let's say the year, you know that we have not the full benefit due to our hedging policy. But assuming that the dollar will stay at this level, we will see positive impact materializing during the year. But NA will be also the mix. The mix has been one of the main detractor in 2024. Clearly, depending on the recovery in the industrial, the mix will play a positive impact over the gross margin moving forward. But then we have some headwinds. One of this is the capacity reservation fees. If you remember, the capacity reservation fees will decline this year. This year will be declining by more than $200 million compared to 2024. And then we will expect the price erosion. Price erosion is expected in the range of mid-single-digit. I would say these are the dynamics to quantify at this stage is a little bit complex to say.
Janardan Menon: And just on the -- sorry, continue.
Lorenzo Grandi: If you want, I can add that we think anyway that Q1 for gross margin will be the bottom. It's fair to say that we expect that Q1 will be the bottom. So we will see progressively recovery in terms of gross margins.
Janardan Menon: And just on the last two points, the capacity reservation fee and the price erosion. The capacity reservation fee, is that a linear steady effect through the four quarters? Or is there some kind of a linearity where it improves or reduces into the second half of the year? Can you give us the same issue on price pressure? Is price pressure higher now? Is there any expectation that it could reduce in the second half if demand recovers or something like that?
Lorenzo Grandi: In terms of capacity reservation fees are substantially linear over the various quarter. You may have a plus or minus, but not significant changes in the quarter. In terms of pricing, yes, Q1 is impacted on a sequential basis mainly for the renegotiation of the contract in Automotive. So it will be a step down that is not repeatable over the other quarters. So at the end, let's say, in the year, we will see price down, we expect in the mid-single-digit, which a significant portion has been already, let's say factor in already in Q1.
Janardan Menon: Okay. And can you just remind -- last one. Can you just remind us on your sensitivity on currency. What is your current -- do you have a formula to update us on?
Lorenzo Grandi: In terms of the effects, roughly we can say that is impacting in the range of $10 million, $12 million operating income per quarter for any one percentage change in the euro-dollar impact. This is more or less impacted than you may change a little bit because there is a portion of the revenues that are in Euro, is no hedging. But if you want roughly, this is the rule that you may consider.
Janardan Menon: Thank you very much.
Jerome Ramel: Thank you, Janardan. Sandra, we have time for the last question. Thank you.
Operator: The last question comes from Stephane Houri from ODDO BHF. Please go ahead.
Stephane Houri: Thank you very much. Actually, I have a question on automotive and on the silicon carbide scenario, you made a few comments about the fact that you had some wins, notably in China. So I'd like to understand if you think you can growth this year in silicon carbide? And what would be the mix between new customers and the main customer that has been using your product? Thank you.
Jean-Marc Chery: Overall, I will not comment full-year 2025 on silicon carbide. Similarly, okay, we don't want to comment the full-year with the visibility we have more than specifically on silicon carbide, I will let Marco to comment a few points. Really, on silicon carbide -- crucial for ST is the following. First of all, okay, we want to convert as fast as possible our manufacturing in 8-inch. This is what we -- we have engaged in Catania. And I repeat, okay, by H2 2025, we will start the production in 8-inch in Catania. And partially, okay, integrated with the raw material and this to address, okay, mainly the Western market. In China, okay, I would like to insist that we will start in H1 2026 directly into mini meter, and we will be fully integrated in China, okay, with our Shenzhen fab and similarly to the microcontroller, we will be, let's say a China for China strategy for manufacturing, for product development and support and for business development and support. 2025 will be a transition year, but again, it's too early to speak. And we expect, okay, then to accelerate the growth, '26, '27 and moving forward. In more detail, okay, Marco can make some complement information.
Marco Cassis: Yes. Thank you, Jean-Marc. As we presented during the Capital Market Day, the positioning that we have in this moment in terms of sockets where we are in with the Chinese makers is surely strong. I think we are relative to peers, we are in strong positions in terms of sockets, how this will develop during 2025 in terms of top line, considering and overall as you know, slowdown in terms of battery electric vehicles is too early to say. What I can say is that our growth and our ambitions in the long-terms to retain a 30% market share is there and this will be driven by four elements that are innovation because our technology roadmap is extremely strong. We just introduced our Generation 4 and we are continuing to work to implement further generations. Our manufacturing footprint, Sanan, China and Catania is helping us to position ourselves strongly to serve both, let's say, the Asia and the Chinese market and the Western world. And we expect that beyond this transition period during 2025, to see a recovery and acceleration of the EV. And we will, of course push not only for the automotive market, but in terms of silicon carbide, we want to enlarge also our positioning in terms of industrial and AI data centers. I will repeat again. The position in terms of sockets where we are present in the Chinese market, which is at this stage the -- let's call it that is relatively to our business extremely strong.
Jerome Ramel: Thank you, Stephane. Unfortunately, we don't have time for follow-up question. So thank you, everyone. I think this is ending our call for this quarter. Thank you for attending, and we are at your disposal, should you need any follow-up question. Sorry for the one that didn't have time to ask the question. Thank you very much.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.